Operator: Good day, and thank you for standing by. Welcome to DraftKings Fourth Quarter 2024 Earnings Call. At this time all participants are in a listen-only mode. After the speakers’ presentation there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to Alan Ellingson, DraftKings' Chief Financial Officer. Please go ahead.
Alan Ellingson: Good morning everyone, and thank you for joining us today. Certain statements we make during this call may constitute forward-looking statements that are subject to risks, uncertainties and other factors, as discussed further in our SEC filings that could cause our actual results to differ materially from our historical results or from our forecast. We assume no responsibility to update forward-looking statements, other than as required by law. During this call, management will also discuss certain non-GAAP financial measures that we believe may be useful in evaluating DraftKings' operating performance. These measures should not be considered in isolation or as a substitute for DraftKings' financial results prepared in accordance with GAAP. Reconciliations of these non-GAAP measures to the most directly comparable GAAP measures are available in our earnings release and presentation, which can be found on our website, and in our annual report on Form 10-K filed with the SEC. Hosting the call today, we have Jason Robins, Co-Founder and Chief Executive Officer of DraftKings, who will share some opening remarks and an update on our business. Following Jason's remarks, I’ll provide a review of our financials. We will then open the line to questions. I will now turn the call over to Jason Robins.
Jason Robins: Good morning, and thank you all for joining. Today, I'm excited to share our strong 2024 results, our areas of focus for 2025 and why I'm enthusiastic about the next few years. We just wrapped up our 13th year of DraftKings, and I am more confident than ever in our growth trajectory and ability to capitalize on the substantial opportunity ahead of us. My confidence begins with the year we had in 2024. For the year, revenue increased 30% year-over-year to $4.8 billion. Adjusted EBITDA improved $332 million year-over-year to $181 million, and free cash flow was positive for the first time in our history. We acquired 3.5 million new customers at record low customer acquisition costs and increased our total customer base 42% year-over-year to $10.1 million. I am also proud that our business is demonstrating strong operating leverage. While revenue grew 30% in fiscal year 2024, our adjusted operating expenses increased only 5% year-over-year, we are normalizing for costs related to our acquisition. We expect this to continue as our revenue growth remains strong while our expenses approach scale as we continue to exert discipline and leverage new technologies across the organization. Looking further ahead to the future. I'm excited about a number of vectors that could even further accelerate our growth. Our structural Sportsbook hold percentage is continuing to increase, and the long-term ceiling to prove higher than we forecast. Additional online gaming legalization in the U.S. appears inevitable and more a question of when, not if. And our newer verticals such as digital lottery courier are only in their infancy. DraftKings is at the epicenter of a mega trend. Real money online gaming is a large and growing industry with secular tailwinds behind it. We believe we are well-positioned to capture significant share, and we haven't even begun to expand outside the U.S. and Canada, which we could explore as a longer-term opportunity. In 2025, one area of focus is extending our lead in live betting. Our recent acquisitions of Simplebet, Sports IQ Analytics and Mustard Golf provide us with proven technology and analytical tools that will accelerate our product road map and bring the live betting experience to another level. We will also focus on growing and further integrating our emerging verticals. For instance, Jackpocket, the #1 digital lottery courier app has proven to be an efficient acquisition channel for the DraftKings ecosystem. The app recently cracked the top 5 in the entertainment category of the App Store in the Mega Millions jackpot reached $1.2 billion. Jackpocket is positioned to benefit from larger prices, more states and an expanded product offering that includes scratcher games. Lastly, we are focused on how we can intelligently deploy capital as our balance sheet grows. Now that we are generating significant positive free cash flow, we have more options available to us to maximize shareholder returns. This includes optimizing our capital structure by exploring opportunities in the debt markets, while maintaining a prudent approach to leverage. We will continue to prioritize returning capital to our shareholders, while considering all options available to us in targeting the highest risk-adjusted returns. In closing, I'm very excited about our trajectory in 2025 and beyond. With that, I will turn it over to our Chief Financial Officer, Alan Ellingson.
Alan Ellingson: Thank you, Jason. I'll start with the highlights, including our fourth quarter 2024 performance and our fiscal year 2025 guidance. Please note that all income statement measures discussed except for revenue, are on a non-GAAP adjusted EBITDA basis. As Jason mentioned, we had an excellent 2024, and I'm pleased to share that our fourth quarter was strong across our core value drivers. In the fourth quarter, we generated $1.393 billion of revenue, representing 13% year-over-year growth and $89 million of adjusted EBITDA. Customer acquisition exceeded our expectations as newly acquired Sportsbook and iGaming customers continued to increase year-over-year, and our new digital lottery courier vertical benefited from the Mega Millions jackpot reaching $1.2 billion in late December. Customer engagement and retention were strong structural Sportsbook hold percentage also continued to improve, increasing 80 basis points year-over-year to 11.2% for the quarter as our NFL parlay handle mix improved more than 600 basis points year-over-year. Promotional reinvestment outperformed our expectations in dollar terms. Adjusted gross margins of 45% reflects our improving structural Sportsbook hold percentage and our optimization of promotional offers despite a headwind from customer-friendly outcomes. I'd also like to take a couple of minutes to comment on the first quarter of 2025. We are off to an excellent start, and that provides us incremental confidence in our fiscal year 2025 revenue and adjusted EBITDA guidance ranges. In January, our core value drivers resulted in revenue and adjusted EBITDA that exceeded our expectations for the month with an actual Sportsbook hold percentage of 11%. Additionally, month-to-date through February 11, our acquisition, retention and engagement continue to be strong, and our actual Sportsbook hold percentage was 13%. The Super Bowl, one of our tentpole acquisition and engagement days, was a successful event for the company. On Super Bowl Sunday, our customer acquisition was a bright spot as DraftKings Sportsbook app reached #1 in the App Store in the sports category and #3 across all apps. From an engagement standpoint, we set our own daily record for Sportsbook handle at $436 million. Finally, debt mix trends were favorable as same-game Parlay handle increased approximately 40% year-over-year which ultimately resulted in the highest Sportsbook gross gaming revenue day in the history of the company. Now moving on to our fiscal year 2025 guidance. In November, we stated our expectation that fiscal year 2025 revenue would be in the range of $6.2 billion to $6.6 billion. Today, we are raising the low end and midpoint of our range due to the investments that we are making into our live betting offering, including our acquisition of Simplebet. We expect our live betting initiatives will be neutral to adjusted EBITDA in 2025 and positive to adjusted EBITDA in 2026 and beyond. We now expect 2025 revenues of $6.3 billion to $6.6 billion, which represents year-over-year growth of 32% to 38%. We had also shared in November our expectation that fiscal year 2025 adjusted EBITDA would be in the range of $900 million to $1 billion. Today, we are reaffirming that guidance range. It is early in the year, but the performance so far has been excellent across our core value drivers. Importantly our revenue and adjusted EBITDA guidance for fiscal year 2025 does not include the benefit of favorable year-to-date support outcomes nor the company launching mobile sports betting in Missouri. In terms of additional fiscal year 2025 detail, we continue to expect structural sports book hold percentage of approximately 11% and now anticipate a Sportsbook net revenue margin in the range of 7% to 7.5%. We now expect our adjusted gross margin to be in the range of 46% to 47%, which is slightly higher than midpoint relative to our expectations last quarter. We continue to expect stock based compensation expense to represent approximately 6% of revenue. Finally, we expect the bridge between adjusted EBITDA and free cash flow to be $100 million. and therefore expect to generate free cash flow of approximately $850 million in fiscal year 2025. That concludes our remarks, and we will now open the line for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Shaun Kelley with Bank of America. Your line is now open.
Shaun Kelley : Hi, good morning everyone. And thank you for taking my question. Jason or Alan, I wanted to start off with trends on the volume and handle growth side of the business. So we saw a handle growth across the industry slow a bit in the fourth quarter. And I just wanted to know how much of a concern is that for you? What do you think can drive reacceleration in 2025? And is a pickup necessary to kind of reach your outlook as you stated here.
Jason Robins : Thanks, Shaun. Appreciate the question. So definitely, a lot of factors, I think can affect numbers that really are kind of masking reality. So not a huge thing. But for example, in the fourth quarter, there was one less NFL game this year than the year -- or excuse me, in 2024 versus '23. So things like that can make a difference. But we think probably the biggest impact was just distraction around the election. Handle growth is still good, but it was a little less than what we are seeing now. I mean the reason I think we have confidence in '25 is we've seen a pretty rapid acceleration in handle growth. You saw the same thing with some of the ratings, MBA was down a little bit. It's bounced back quite a bit in the first quarter. So I think same thing on our end, we've seen the handle growth accelerate since the elections pass and especially into the new year.
Shaun Kelley : Great. And if I could just a follow-up on the strategic side, Jason. I wanted – there has been a lot of news flow out there and buzz around events contracts and prediction markets and during the sports landscape. So appreciate it is very early here, and this has been a moving target. But just sort of what's DraftKings initial take here? Is this something you'd get into? Or what can kind of project or differentiate you from that kind of offering?
Jason Robins : Yes. I do think you are right, it is early. We are watching it very actively. It's certainly something that we have keen interest in seeing how it plays out. So I think there is some -- in the next couple of months, 60 days or so, there is going to be a CFTC ruling and all sorts of other things. So I think we'll know a lot more over the next few months.
Shaun Kelley : Thank you.
Operator: Thank you. Our next question comes from the line of Stephen Grambling with Morgan Stanley. Your line is now open.
Stephen Grambling : Hi. Thanks for the incremental detail on the Sportsbook. The net revenue target looks like you're assuming a fairly modest reduction in promotional intensity at lease as a percentage of GGR. If we zoom out, what are some of the major puts and takes that will influence the promotional reinvestment here and how that intensity may evolve longer term?
Jason Robins : Yes, it's -- sorry, you're talking about 2025.
Stephen Grambling : Yes, 2025 versus 2024. And then I guess if we think about how that will continue to, I guess I would imagine trend lower as the industry matures, but -- just wondering if that's kind of the right case.
Jason Robins : That's quite a decline in our promotional intensity. So I think maybe our analysts can work with you off-line and help you on that. But it's -- I think we're expecting a pretty meaningful decline in promotional intensity in 2025.
Stephen Grambling : Got it. So I will follow up with that. Maybe then one more that I'll sneak in. Obviously, you started the buyback during a period where there was tougher hold. How does volatility and hold impact your willingness to buy back? And is there any specific approach to buy back either consistent or opportunistic, as we think about how you will deploy capital going forward?
Alan Ellingson : Yes, Stephen, I'll take that. We're going to be fairly programmatic with it. we've communicated in the past that we'd like to tie it to our free cash flow, and we're just going to be very consistent quarter-over-quarter.
Stephen Grambling : Great. Thank you.
Operator: Thank you. Our next question comes from the line of David Katz with Jefferies. Your line is now open.
David Katz : Thanks good morning everyone. Going back to a question I've asked a whole bunch of times, but it feels more appropriate now which is around in-play betting. Can you just discuss the puts and takes and trajectory around in play in the U.S. as you see it, towards getting to the kind of volume levels that mix that we see, for example, in Europe?
Jason Robins : Yes. I think that there is a couple of things. One is obviously the product, and we've made a tremendous amount of headway, but also still feel we have a lot more we can do there, very proud that we had the -- by far, industry's highest uptime for markets, including in-play during the Super Bowl. And so that's a big area of focus. Obviously, if the markets aren't up, people can't bet. Secondly, I think beyond the product, really working with the broadcasters and the streamers to try to get low latency broadcast and streams available for customers that want to in-play bet on a more micro basis. It's hard when you are 20, 30 seconds behind it almost makes the experience you have to play just on the app instead of watching the game, which I don't think is as good and certainly not what the broadcasters and leagues want. So that's something, I think that can help, too. So really for us, it is both of those. It's working with the other stakeholders in the industry to help creating an ecosystem that allows the customer to maximize their experience and then making sure on our end, we're building the best products and making sure they're up and running when the customers want to make bets.
David Katz : Perfect. And if I can just follow-up quickly for Alan. My sense is there may have been an urged to raise the guidance given the really strong start we've seen so far year-to-date. How did you sort of think about the urge and resist the urge.
Alan Ellingson : I think it is very early in the year, and we don't feel any obligation to get ahead of the numbers. We are seeing some really good positive strong trends, but let us stay consistent with what we've said in the past and let's see how the year progresses.
Jason Robins: Yes. And remember, we are providing a range, too. So there's already some kind of -- there's some moving parts built into that. So I think, as Alan noted, it is very early in the year. We feel like we still are very comfortable with the range we provided on the EBITDA side. And hopefully, there is some upside there. But as we saw in Q4, things can swing the other way, too. So I didn't want to get out ahead of our skis.
David Katz : Appreciate it. Thank you.
Operator: Thank you. Our next question comes from the line of Carlo Santarelli with Deutsche Bank. Your line is now open.
Carlo Santarelli: Hi guys. Good morning. Jason, Alan, whoever wants to take this one. I think if you just look at the 35% revenue guidance, and factor in kind of the improvement in structural hold. From a gross perspective, you kind of have a 17% head start on OSB revenue for the year. I would imagine that the handle component plus the promotional savings and the impact that would have on your net revenue is going to be -- should amount to something that's slightly higher than the 35% aggregate target with a little bit of drag from perhaps OSB and obviously, some moving parts in the other line? Is that a fair kind of reconciliation?
Jason Robins : Yes, I think that is pretty good. I mean, listen, we do feel there is some upside. Obviously, we provided a range on the guidance, and we are always out there trying to beat it. We have a number of initiatives planned throughout the year, both to improve top-line handle in GGR and also to improve our promotional efficiency. Obviously, we' will have to see how customer acquisition performs. That's been something that's been better than expectation, which is great for the long-term, but can drive promotions up in the meantime. So lots to do, I think. But also lots of upside. And for us, I think it is really about making sure that we put a prudent guide out there, but also have a number of initiatives that are lined up to hopefully help us beat it.
Carlo Santarelli: Helpful. Thank you. And then if I could, just one follow-up on the adjusted sales and marketing. Clearly, some activity later in the year, some acquisition activity, et cetera, that kind of drove those costs up year-over-year. How are you guys kind of thinking about that line for 2025? Is that something we could expect could come down somewhat or even perhaps meaningfully as we move through the year?
Alan Ellingson : Yes. The way we think about some of those costs, especially in the long-term, is we are trying to optimize around an EBITDA margin ultimately of close to 30%. And so you are going to see some fluctuations up and down as we pick up acquisitions and we are going to optimize the organization and continue to focus on streamlining our organization and our fixed cost to get to a place where we can deliver the EBITDA margins we've communicated.
Carlo Santarelli: Helpful. Thank you both.
Operator: Thank you. Our next question comes from the line of Robin Farley with UBS. Your line is now open.
Robin Farley : Just looking at your guidance, this is I think, the second quarter in a row, you raised revenue guidance for '25, but the EBITDA guidance hasn't changed. And presumably, it is your push into the live betting space. Can you help us think about what that would be adding presumably to 2026? Thanks.
Jason Robins : Yes. It's a great question, Robin. So we haven't quantified that, but as Alan noted on the call, we do think that while EBITDA neutral this year, the investments we are making in the live betting will be EBITDA positive in 2026 and beyond. So you are absolutely right, but we haven't quantified it at this time.
Robin Farley: Okay. And then as a quick follow-up, I think it was in your shareholder letter. You mentioned exploring opportunities in the debt markets now that you have cash flow. Is the suggestion there? Would that be -- for to use for additional share repurchase? Or kind of how should we think about that opportunity to use debt? Thanks.
Alan Ellingson : I think initially, it will just be for general corporate purposes and just to establish our presence in the debt market with no specific focus in mind on it. Long-term, we'll obviously look at the optimal way of growing the business and the right way to use our balance sheet to do so.
Robin Farley: Okay. Great. Thank you.
Operator: Thank you. Our next question comes from the line of Robert Fishman with MoffettNathanson. Your line is now open.
Robert Fishman : Hi, good morning. Given the continued strength in customer acquisition, can you share more about the current levels of population penetration in some of the older vintage states? And how that compares to some of your newer states? And maybe just the runway for higher penetration in the years ahead.
Jason Robins : Hi, I mean, as you may remember, and I think this is probably why you're asking some of the earlier states didn't ramp as quickly as the newer states have. So it took a little longer to get to that population penetration. Right now, our oldest states typically are at the highest in some cases of our overall states for population penetration, particularly states like New Jersey, which even though it took a little longer to get there, it's been around for a while. That said, they're still growing. So I don't know where the ceiling could be. And for us, I think it's just about continuing to build a product that we think appeals to a wide variety of customers and provides great entertainment and hopefully, as we do that the audience will grow. I do think there is some secular tailwinds behind us. I think younger generations tend to participate more in these types of activities and also tend to do it more online and on mobile. So I think, time is on our side in that sense.
Robert Fishman: And maybe a quick follow-up then. Can you discuss the ROI of your sponsorship strategies. You saw that record sign-up from the Tyson-Paul Netflix fight. So how does this change your approach thinking about 2025?
Jason Robins : We're always looking for opportunities like that. That one, to be fair, I mean, it was kind of lightning in a bottle. I don't think anyone expected that Tyson Jake Paul fight to have the mainstream appeal and to get the audience, it did including Netflix, I mean, they had unbelievable traffic to the point where it was almost hard to keep up. So that was one that was sort of a pleasant surprise and you are not going to always hit on that. But I think for kind of us the way we look at it is how do we make sure that we are establishing relationships with great companies that know how to put on great events and then getting good deals. And if they hit big then great, but we don't want to count on that. It is really about establishing a good framework so that even in a kind of base case scenario, we get great ROI. So that is how we think about it. And then if you happen to have the upside from something like what happened with the Tyson fight, then great, but that's not going to happen all the time so that can happen very often, so you can't count on it.
Robert Fishman: Thank you.
Operator: Thank you. Our next question comes from the line of Ben Miller with Goldman Sachs. Your line is now open.
Ben Miller : Great. Thanks so much for taking the question. I wanted to follow up on the prior live betting questions, given it was highlighted as an area of focus in 2025. I'm just curious how you think about that, how you think about greater adoption of live betting translating into the model between wallet share, growing wallet share with existing customers versus potentially unlocking new customer cohorts.
Jason Robins : I think it's a big part of it, right? Most customers are not going to come in and make the first bet as a live bet, they're going to bet pre-match. So it really is, as you noted, about getting our existing customers to continue to adopt live betting. And if you look at the trends overseas, that's sort of story, right? It grew each year from more and more existing customer adoption to the point where now it's 70%, 80% of revenue in the U.K. for digital Sportsbook. So definitely feel like there's that kind of upside here. The U.S. sports are very well built for in-play betting, we saw a lot in the Super Bowl more this year than we had in prior years. So that was a very encouraging sign. And I think as time goes on, we are going to continue to figure out ways to better create products that appeal to customers. And I just think also the natural evolution and maturity of the customer base, people are going to try new sports, they are going to try new bet types and that will lead to more live betting.
Ben Miller : Great. And then maybe just as a follow-up. I'd love just on the DraftKings Plus subscription. Just any learnings -- early learnings from the pilot in New York and how that translated into any change customer behavior? And the second part of that is just how you think about the economics of that offering between subscribers versus non-subscribers.
Jason Robins : Yes, it is a great question. So it's really early and it is a very limited pilot. So we don't have enough data yet at this point, but it is something that I think could potentially have some real interest amongst the broader population from what we are early on seeing I think we wanted to make sure because we don't know what the economics are going to shake out at. So part of why we kept it a very limited pilot is -- we didn't want to have a bunch of customers sign up for something that we then had to materially alter the economics because it wasn't backing out. So that was kind of the thinking on that. And really, we are going to kind of let this one run gather that data and then take a step back and say, is this something we want to continue to pursue? And what tweaks if any, do we need to make to the program before we roll it out to a broader audience?
Ben Miller : Great. Thanks so much.
Operator: Thank you. Our next question comes from the line of Joe Stauff with Susquehanna.
Joe Stauff : Thank you. Good morning Jason. Jason, I was wondering if you can give us what you can, but your summary views on the state budget process thus far in terms of new markets, potential new markets or efforts to reduce gray and black markets and taxes. And then I wanted to ask about how to think about the timing of how you layer in, say, new live products throughout 2025, is it chunky, for instance before March Madness, like what -- how to think about that?
Jason Robins : Yes. So on the first question, it is -- this is the kind of sausage-making period where you are going to see lots of news come out -- but there's a whole lot of things that happen between now and when ultimate decisions get made on which states want to move forward with new legislation and anything else that happens in other states, including tax decisions. So we are obviously right in the thick of it with our lobbying team trying to make sure that we are getting our points made and that we're helping push forward the policy that we believe is the correct policy, which is to have broad legalization with reasonable regulations and tax rates so that operators like us are able to compete with the ramp in the legal market, which is generating billions and billions of dollars every year. In fact, what is really been interesting is the degree to which the online casino illegal market has grown over the last few years, and I think that's catching the attention of a lot of lawmakers. It's actually a very similar story to what happened with sports betting, where a lot of the impetus for legalization came from the fact that it was already. So such a ramp in activity in the illegal market and so many people are already doing it that, it made sense to protect consumers and generate tax revenue. So I do think more and more policymakers are thinking about those things and are becoming aware of the size and scope of that illegal market. So we are going to see how it plays out over the next few months. And obviously, there will be lots of news and headlines. But in the end, there is quite a bit between now and when it ultimately resolves in each of these states. That said, I do think we're going to have a little bit better year in terms of legalization. Last year was a tough year because it was the election and typically getting votes on gaming during an election year is hard. People are just distracted campaigns and also don't want to take up any sort of issue that they even be mildly controversial. So I think there will be a little bit more success this year, at least that's my hope. And then -- sorry, what was your second question again?
Joe Stauff : Yes. Just knowing the effort on the live side of things in terms of the new products and so forth -- yes, how to think about sort of the timing?
Jason Robins: Yes. So we will introduce things throughout the year. It is certainly though the case every year that we try to time certain launches around big events or new season launches. So you'll see some stuff roll out at the beginning of baseball season. You'll also see some things, and this is true across our product. The biggest time of the year for us is to roll things out just before the NFL season a lot of planning and effort goes into making sure that we have the best possible product for NFL and then for MBA after that. So that's -- I think it will be pretty steady, but you will see some big rollouts right before the season is particularly right before the NFL season.
Joe Stauff : And can I squeeze just one quick one. Could you just remind us, March Madness of last year, overall kind of hold, was that, say favorable versus unfavorable?
Jason Robins : It was unfavorable last year.
Joe Stauff: Thanks a lot.
Operator: Thank you. Our next question comes from the line of Clark Lampen with BTIG. Your line is now open.
Clark Lampen : Good morning. Thanks for taking the question. Jason, I wanted to ask a question around structural hold trends. I'm curious if you could give us a little bit more color around the assumption for 2025, and what's embedded from a mix shift standpoint? You obviously called out some favorable data points around the Super Bowl with same game parlay trends -- have you seen more traction as that product has improved or shifts in engagement? Just curious if you could give us a framework for the leading edge of player behavior in response to those products and whether that's been consistent with embedded expectations.
Jason Robins : Yes. Actually, it is been a little bit better than expectation to-date, which is why baked in that structural hold in our last guide. I should say, better than expectation today better than expectation this NFL season before in terms of what we thought would happen before the NFL season. And MBA has continued to. We've seen great bet mix improvement year-over-year in MBA and a lot of the learnings that we got in terms of how to better -- not just what products customers want, but also how to market and merchandise those products in a more effective way, I think, really paid dividends, both for NFL and thus far through NBA season. So that's been a lot of great work on our teams and to do that. And it seems like there's still upside because each passing week, the numbers are continuing to improve. So we are very bullish on the outlook for structural hold for 2025, and hopefully, we can do even better.
Clark Lampen : That's great. I wanted to ask a second question, address, I guess, capital allocation and potential international expansion. You've been consistent for a while and saying that you think DraftKings should be a global enterprise. But to mention this time around seems a little bit more deliberate. It came up in your prepared remarks. Is that in response to market movements, opportunities that are presenting themselves to you now that weren't there before? Or do you believe this is -- maybe we are at a point in time with the progression of the U.S. business and where you are over the next couple of years that it's now just more of a right place, right time situation. Just curious if you could give us any color on that. Thank you.
Jason Robins : I mean international has always been of interest. I don't think we deliberately meant to be any stronger on it this quarter than we ever have. It's kind of the same story actually, which is our primary focus, of course remains to be the U.S. OSB and iGaming space. We've dipped our toe into some other places like digital lottery courier that we are very excited about, and feel like have a lot of upside within that overall U.S. gaming strategy, online gaming strategy. And it is true that a lot of the technology we are building could be useful overseas, but it doesn't mean that that's something that we're looking at in the immediate-term, we are going to be more deliberate and opportunistic. So I think for us, it's less like, hey, do we need to do something on the international front now? Or should it be five years from now and more let's just continue to keep our eye on that and if the right opportunities emerge, be ready to go for it. But that doesn't mean that, that's something that we have in the near-term horizon. It is much more opportunistic than that. We are very fortunate that we feel like we have a huge runway for us in the U.S., and also in Canada. So there is really not like a burning need to rush international expansion. So there may be a day where we say, look, this is something we just have to do, and we are going to figure it out over the next 12 months. But right now, it is much more, hey, it is the right opportunity out there? And if not, we'll just continue to focus on the U.S.
Clark Lampen: Perfect. Thank you very much.
Operator: Thank you. Our next question comes from the line of Dan Politzer with Wells Fargo. Your line is now open.
Dan Politzer : Hey, good morning everyone. First, how do you think about the power of your brand right now for both Sports and iGaming. And do you think that there's a digital opportunity, if at all, for additional brands in either vertical? And I think about Golden Nugget and all the success you had there is an obvious example, but figured I'd just check on your and where your head's at there.
Jason Robins : Yes. I think your Golden Nugget has been a great success. And also for the first part of your question, I think the DraftKings brand is incredibly strong not just with sports, but with iGaming as well. I think we made a ton of headway building our brand in the iGaming market. And I also think we've really improved the Golden Nugget Online product, which I think has helped improve that brand and has really helped the share and the growth trajectory of that brand as well. So I don't see any reason we couldn't plug that into other front ends in terms of iGaming. It is not something we are actively looking at, at the moment. But I do think we've built that capability and proven out that model. On the sports side, I think it is probably less proven. It doesn't mean it couldn't work, but there are reasons to believe that it is more effective strategy in iGaming than it is in sports. So that's why we focus more on iGaming state.
Dan Politzer : Got it. And then I think in your filings, you can kind of back into what gaming taxes were as a percentage of revenues. I was coming out to something around 37%, 38%. As I think about your adjusted gross margin targets for 2025, are you anticipating that gaming taxes go up? And maybe as you think about kind of that out-year guidance you laid out a while ago, I mean, as we sit here today, what are you baking in, in terms of taxes? And maybe even some of the other costs within your cost of goods sold, like platform cost, market access fees or processing fees.
Jason Robins : Yes, we – it is a bit lower than what you said. So it's not 37%, 38%. But what we've assumed for 2025 is no change in taxes. It's kind of the same approach we're taking on legalization or anything legislatively that until we have clear line of sight that something needs to be changed in our forecast. We are not going to change it. And right now, there is no reason to bake in higher tax rates because no state has actually increased our tax rate this year. So obviously, something that could change and something that we are very focused on from a government affairs standpoint, but from a guidance standpoint, we didn't bake in any additional legalization. We don't have the Missouri launch in there, and we don't have any additional changes in terms of tax and regulation either.
Dan Politzer: Thank you so much.
Operator: Thank you. Our next question comes from the line of Jed Kelly with Oppenheimer. Your line is now open.
Jed Kelly : Hi, great. Thanks for taking my question. It seems like your Jack pocket cross-sell is being pretty effective -- but does that give you a sense that you want to like invest more in Jackpocket in states where sports betting or iGaming is not legal. And I know you've recently just touched on the NBA product earlier. Can you give us an update on where you think your NBA product is relative to your chief competitor? Thanks.
Jason Robins : Yes. I think Jackpocket has been great in terms of both the cross-sell and also we had really strong customer acquisition during this last Mega Millions $1.2 billion jackpot run. So I do think that there's room to invest more there. And I think that for us, it's probably more effective in states where there is legal sports betting and iGaming because the LTVs in the immediate term are going to be higher because we can cross-sell right away. But certainly, if there are states that we think we can efficiently build a customer base similar to what we are doing in DFS. I think that's also a great opportunity and one of the reasons that we feel excited about Jackpocket. In terms of the NBA product, we think our product is as good as anyone in the market right now. And I think that, that is probably something I wouldn't have said a year or two ago. I think definitely not two years ago, maybe a year ago. But right now, I think it's as good, if not better than anything else out there. So really excited about the progress and proud of the progress our product and technology team has made. And I actually think there is a lot of upside, particularly on the life side, where I think we have a best-in-class clear advantage over the rest of the industry.
Jed Kelly: Thank you.
Operator: Our next question comes from the line of Brandt Montour with Barclays. Your line is now open.
Brandt Montour : Good morning everybody. Thanks for taking my question. Jason, I want to drill in on one of the comments you made in your prepared remarks that the long-term ceiling for hold is higher than you thought. Could you just maybe flesh that out for us? Is that just a mix comment? Is that a comment that you just sort of see your chief competitor sort of growing their parlay mix ever higher. But just the ceiling part is the part I'm focused on.
Jason Robins : Yes. It's really because of the amount of increase we saw this year. I think that if you sort of look at the curve and how much it's improved, and obviously, there's a lot of actions we've taken. So it is not just natural evolution, but it doesn't look like it's slowing down. It looks like it's accelerating. So I don't know where the ceiling is, but we are fairly conservative in our multiyear plan. So I think that we haven't actually quantified it, so I want to give a number, but we were more conservative certainly than some of the numbers that have been thrown out by our chief competitor. So I think that gives us confidence, too, that if they are seeing line of sight to that -- that that's probably achievable for us, too.
Brandt Montour : Okay. Great. And then just a quick follow-up on iGaming. Curious if you are having any concerns about what you are seeing in the promotional environment out there. And if that's something that could get -- if that could heat up further if we don't get any new state legislation over the next couple of years?
Jason Robins : I don't think so. I mean iGaming actually has declined year-over-year in 2024 in promotional intensity. Now it didn't go down as much as sports, but that's more a function of the fact that there hasn't been a lot of new iGaming legalization in the last three years, four years. So naturally with more of the newer markets in sports, having launched in the last couple of years, they're going to have much more decline since their customer acquisition relative to existing customers is much stronger in the early years. So I think that's really what you're seeing in terms of the difference between the two, but both sports and iGaming went down, and I expect iGaming to continue to decline in 2025, in terms of promotional [indiscernible] side obviously, expect iGaming to grow, but for [sports] (ph) we expect to decline.
Operator: Thank you. Our next question comes from the line of Barry Jonas with Truist Securities. Your line is now open.
Barry Jonas : Hi, guys. Good morning. With the new higher Illinois tax in place for a bit now, can you talk about or maybe try to quantify what you've been able to do to offset the hit there?
Jason Robins : We've done some things like reduced promotional intensity and marketing in the State. So that has helped. Obviously, it didn't completely offset it, but the business has done so well from other perspectives that we actually were able to continue to maintain that $900 million to $1 billion guidance even with the Illinois tax it. So I feel very good about that and very excited about the overall trajectory of the business. And we -- like I said, we are able to mitigate some of it, but we weren't able to mitigate all of it in Illinois.
Barry Jonas : That's helpful. And then just with the Missouri launch, can you maybe frame or even quantify what the investment what we should expect for the investment this year, and it would be helpful to frame it relative to prior similarly sized launches in the past from a CAC perspective? Thanks.
Jason Robins : Yes. We are not putting an exact number out there now because the timing is still up in the air. The earlier in the year, it is the less sort of overall on the year because we'll have more time to make it up, the less of an EBITDA hit. So we are going to wait until they have a launch date set before we put a number out there. But as soon as they do, we'll share that with everybody.
Barry Jonas : Thank you.
Operator: Thank you. Our last question comes from the line of Ben Chaiken with Mizuho. Your line is now open.
Benjamin Chaiken: Hi, thanks for taking my questions. First question was on payments. This one might be a little bit out there, but I'll take a shot. With what feels like both social and political acceptance of crypto currency, do you envision a time when DraftKings would accept stable coin to the form of payment, the idea being reduced expenses to move money in and out of wallet among other items, and fully recognizing you may have other fish to fry, but any color you can provide or thoughts would be great. Thanks.
Jason Robins: Yes, it's a great question. I mean, it is certainly something we are looking at. It is not entirely a product road map question. It is also getting regulators comfortable with it because regulators typically are cautious around crypto in the states, obviously at a federal level, there is a lot of pro crypto deregulation, I think coming. But it is certainly -- and that certainly affects the State's perspective, but they still need to get comfortable. So there are only a handful of states that are open to it at the moment. So it doesn't feel like a huge opportunity. But if that grows to a larger number of states, it is something that I think we take a more serious look at.
Benjamin Chaiken: Understood. Appreciate it. And then I hear your comments on the promotional intensity being down from earlier in the call. But is it fair to say that you've allocated a little more to external marketing spend in '25? My guess is that you are allocating some to Jackpocket and then also to embrace the stronger customer acquisition environment we've seen in the last few quarters. I guess, Am I thinking about that correctly? And then any high-level cadence or waiting to the year to be aware of? Thanks.
Jason Robins : Yes. So we have added a little and it is really Jackpocket. OSB and iGaming is going to be pretty steady year-over-year. So it is really Jackpocket. And that's going to be a little dependent on the jackpot environment. But we saw a pretty strong customer acquisition during this last Mega Millions run, so we want to make sure we're prepared to add a lot of really efficient customers if that happens again, which I think it will. I mean, at least they'll be one or two in 2025, hopefully more because I don't know if everybody knows this, but they decreased -- or excuse me increased the price of the ticket, which means that people either spend more, which is great, or people will spend the same but get less tickets, which then means jackpots will hit less, which means they'll roll more and get bigger. So I think that's actually a really positive development for the digital lottery market.
Benjamin Chaiken: Very helpful. Thank you.
Operator: Thank you. This concludes the question-and-answer session. I would now like to hand the call back over to Jason Robins for closing remarks.
Jason Robins : Thanks, everybody for joining us on today's call. We're really excited about the trajectory for 2025 and beyond, and thank you for your continued support. Thanks.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.